Operator: Good morning, and welcome to Veritiv Corporation's First Quarter 2019 Financial Results Conference Call. As a reminder, today's call is being recorded. We will begin with opening remarks and introductions. At this time, I would like to turn the call over to Tom Morabito, Director of Investor Relations. Mr. Morabito, you may begin.
Thomas C. Morabito: Thank you, Andrea and good morning everyone. Thank you all for joining us. Today, you would hear prepared remarks from Mary Laschinger, our Chairman and Chief Executive Officer and Steve Smith, our Chief Financial Officer. Afterwards, we will take your questions. Before we begin, please note that some of the statements made in today's presentation regarding the intentions, beliefs, expectations and/or predictions of the future by the company and/or management are forward-looking. Actual results could differ in a material manner. Additional information that could cause results to differ from those in the forward-looking statements is contained in the company's SEC filings. This includes, but is not limited to, risk factors contained in our 2018 annual report on Form 10-K and in the news release issued this morning, which is posted in the Investor Relations section at veritivcorp.com. Non-GAAP financial measures are included in our comments today and in the presentation slides. The reconciliation of these non-GAAP measures to the applicable U.S. GAAP measures are included at the end of the presentation slides and can also be found in the Investor Relations section of our website. At this time, I'd like to turn the call over to Mary.
Mary A. Laschinger: Thanks, Tom. Good morning everyone and thank you for joining us today as we review our first quarter 2019 financial results. We will also provide some thoughts on the important drivers of our expected full year 2019 performance and update our guidance for the year. In the first quarter, we generated strong free cash flow, had positive growth in our U.S. Packaging business, and saw an improvement in earnings for Facility Solutions. However, we fell short on consolidated adjusted EBITDA largely due to the challenges in our Print segment, driven by this ongoing structural decline in the industry. Reported net sales for the first quarter were $1.9 billion, down 7.6% compared to the prior-year period while our core net sales declined 5.7%. Our Packaging segment's core revenues were up year-over-year led by our U.S. business while our Print, Facility Solutions and Publishing segments all experienced decline. We believe the decrease in our consolidated revenues was mainly driven by general market softness. During the first quarter, weak industry ride shipments, the government shutdown, the uncertainty of trade on global economies and the impact bad weather had on the broader economy negatively affected demand for our products and services. Adjusted EBITDA for the first quarter was $20 million, down approximately 30% year-over-year. The decline in earnings was largely driven by a combination of three major factors. First, volume declines especially in Print; second, one less shipping day this quarter versus the prior year's first quarter; and third, the negative impact of certain financing leases being replaced by operating leases. As a reminder, one shipping day is generally worth $3 million to $5 million in adjusted EBITDA. Lower operating expenses partially offset the year-over-year earnings decline. Shifting now to our segment results, we are pleased with our Packaging performance in the first quarter. Packaging core revenues were up 2% year-over-year, led by our U.S. based business, which saw an increase in revenues and were negatively impacted by our non-U.S. business performance, which was affected by the timing of customer programs. Packaging's adjusted EBITDA decreased $5 million in the first quarter. The earnings decrease was principally due to increased storage costs of approximately $3 million, the impact of one less shipping day and softness in certain non-U.S. markets, which have a higher mix of specialty packaging. For the full year 2019, we expect Packaging revenue growth to be at a rate of higher than GDP but not as robust as 2018 as we expect to see less of a benefit from supplier price increases, more modest growth with certain large customers, and continued softness in some non-U.S. markets. Additionally, we will lap last year's higher revenue growth rate from the All American Containers acquisition. Our Facility Solutions segment saw a decline in first quarter revenues of 4.4% year-over-year. This decrease was principally driven by channel dynamics and the intentional exit of select customers that are not aligned with our product and service capabilities. Facility Solutions adjusted EBITDA increased about 2% in the first quarter driven by improved operating efficiencies and lower selling costs. We are repositioning this segment for future success by continuing to make strategic customer choices in order to focus on our strengths and better align with market and channel dynamics. For 2019, we expect Facility Solutions revenues trends to be below GDP due to the choices just mentioned. We do, however, expect to see a slight improvement in year-over-year adjusted EBITDA led by a continuation of key drivers experienced during the first quarter as well as the further focus on core product offerings, including private label. Switching to our Print segment, unfavorable industry pressures continued to affect our revenues. Print core revenues declined over 14% for the first quarter, driven by continuing secular declines in market volume, partially offset by increasing prices. As we mentioned on previous calls, we are also making choices to manage credit risk in our Print segment which has, and may continue to have, an impact on our volumes, which should help improve the quality of our customer portfolio. The Print segment's adjusted EBITDA was about half of that of last year. The earnings impact of the revenue decline was somewhat offset by lower expenses. For Print in 2019 we expect secular industry trends will continue to negatively impact the segment's revenue. We could also see worse than market volume declines as we continue to make adjustments to our customer base and product offerings. We expect the Print business model changes we implemented in 2018 will only partially offset the earnings effect of the volume declines in 2019. Taking all these factors into account, we expect Print adjusted EBITDA in 2019 to be meaningfully lower than the 2018 level. The Publishing segment's core revenues decreased 10% in the first quarter. Although industry volumes continued to decline, we benefited from an increase in price, which helped offset some of the decline in volume for the quarter. The industry's volume decline centered around greater than expected inventories. Earnings in this segment were down year-over-year as the impact of the revenue decline was only partially offset by lower selling expenses. For 2019, we are expecting a more stable environment for Publishing, with our volume declines consistent with industry declines and prices moderating. We expect earnings to be at roughly the same level as in 2018. As we have noted in the past, this business can be impacted by changes in customer order pattern. Turning now to our consolidated 2019 guidance, on our February earnings call, we indicated that we expected 2019 adjusted EBITDA to be in the range of $190 million to $200 million. However, due to the continuing market trends in the Print business, we are now expecting our 2019 adjusted EBITDA to be in the range of $165 million to $180 million. Key assumptions for reaching this range includes a GDP growth rate of about 2% and revenue declines in the Print segment in the low to mid-teens. Based on these assumptions and our optimization efforts, we believe the revised earnings guidance is achievable. As indicated in our February earnings call, we expected to see an inflection point in our free cash flow performance in 2019 as the integration is now largely behind us and we can focus on improving business processes, especially with accounts receivable and inventory. In the first quarter of 2019, we generated approximately $36 million in free cash flow compared to negative $31 million in the first quarter of 2018. The increase was due to volume declines and post-integration process improvements, including a lowering of accounts receivables and inventory. Due to the strong first quarter cash flow performance and a continued focus on post-integration process improvement, we now expect 2019 free cash flow to be at least $85 million. Now I'll turn it over to Steve so he can take you through the details of our first quarter financial performance.
Stephen J. Smith: Thank you, Mary and good morning everyone. We will first review the overall results for the first quarter ending March of 2019. As we review those results, I would note that when we speak to core net sales, we are referencing the reported net sales performance excluding the impact of foreign exchange and adjusting for any day count differences. As it relates to day count, we had one less shipping day in the first quarter of 2019 than we had in the first quarter of 2018. We will have one additional shipping day in the third quarter with the second and fourth quarters having the same number of days as in 2018. As a result, we will have the same number of shipping days during 2019 as we had in 2018, but the difference in day count will shift our already seasonal earnings slightly more into the second half. For the first quarter of 2019, we had net sales of $1.9 billion, down 7.6% from the prior-year period while core net sales were down 5.7% after adjusting for the day difference and a small impact from foreign currency. Our cost of products sold for the quarter was approximately $1.6 billion, net sales less the cost of products sold was $350 million. Net sales less cost of products sold as a percentage of net sales was 18%, up about 30 basis points from the prior-year period.  Adjusted EBITDA for the first quarter was $20.4 million, down nearly $10 million or about 30% versus the prior-year period. Adjusted EBITDA as a percentage of net sales for the first quarter was 1.1%, down 30 basis points versus the prior-year period. Of the $10 million adjusted EBITDA decline, the Print segment accounted for about $6 million of the earnings decrease versus the prior year's first quarter. Adjusted EBITDA was also negatively affected by one less shipping day and a change in how our leases are treated from an accounting perspective. Each of those factors lowered adjusted EBITDA by about $3 million. Slightly offsetting these pressures on earnings were lower selling and administrative expenses, supply chain operating efficiencies, and growth in the U.S. based Packaging business. Looking ahead to the second quarter, we will have the same number of shipping days as we had in the second quarter of 2018. In addition, for the fourth consecutive quarter, we will have an increase in storage costs as the lease expense specification that was triggered in July of 2018 will once again be reflected in our financial statements. The cumulative effect of these lease changes will reduce our annual adjusted EBITDA by approximately $14 million, which will be mostly absorbed by the Packaging segment but will have no impact on our cash flow. So let's now move into the segment results for the first quarter. Packaging segment net sales were flat and core revenues increased 2% year-over-year, led by our U.S. based business. Revenues were negatively impacted by our non-U.S. businesses due to the uncertainty of global trade and the timing of certain customer programs. Packaging contributed $48.2 million in adjusted EBITDA, down about 10% year-over-year. Adjusted EBITDA as a percentage of net sales was 5.7%, down 60 basis points or approximately $5 million from the prior-year period. The earnings decrease was principally due to increased storage costs of approximately $3 million, the impact of one less shipping day and the softness in certain non-U.S. markets, which have a higher mix of specialty packaging. Facility Solutions net sales decreased 6.9% while core revenues decreased 4.4%. As Mary mentioned, we are experiencing slowing revenue growth in this increasingly competitive segment due to channel dynamics and the fact that we are making customer choices that align to our product and service capabilities. Facility Solutions contributed $4.2 million in adjusted EBITDA, up 2.4% year-over-year. Adjusted EBITDA as a percentage of net sales increased 10 basis points in the quarter. The adjusted EBITDA margin increase was primarily driven by improved operating efficiencies and lower selling costs. The Print segment had a 16.2% decline in net sales and the core revenues were off 14.5%. The revenue decrease was driven by secular declines in market volumes as well as choices we are making to manage credit risk in this segment. These declines were partially offset by increases in market pricing. For the first quarter, Print contributed $7.2 million in adjusted EBITDA, down 47% year-over-year. The earnings impact of the sales decline was only partially offset by a reduction in supply chain and selling expenses. The Publishing segment had an 11.8% decrease in net sales and core revenues were down 10.3%. The revenue decline was primarily driven by a reduction in volume, somewhat offset by an increase in price. Publishing contributed $4.8 million in adjusted EBITDA, down 29% year-over-year. The decline in adjusted EBITDA can be attributed to the earnings impact of the lower volume. For the entire company, we experienced nearly $4 million of bad debt expense in the first quarter, which is the lowest it has been in four quarters and flat with the first quarter of 2018. Of that $4 million expense, $3 million occurred within the Print segment. Shifting now to our balance sheet and cash flow. At the end of March, we had drawn approximately $886 million against the asset-based lending facility and had available borrowing capacity of approximately $252 million. As a reminder, the ABL facility is backed by the inventory and receivables of the business. At the end of March, our net debt to adjusted EBITDA leverage ratio was 4.7 times down from the prior-year period. Our long-term strategic goal continues to be a net leverage ratio of around 3 times. For the quarter ended March 31, 2019, our cash flow from operations was approximately $44 million. Subtracting capital expenditures of about $8 million from cash flow from operations, we generated free cash flow of approximately $36 million. If we add back the roughly $12 million of cash items due to acquisition, integration and restructuring activities, adjusted free cash flow for the first quarter would have been approximately $48 million. For the first quarter of 2019, our positive free cash flow performance was due to both lower accounts receivable and lower inventory balances. As Mary mentioned, we now anticipate at least $85 million of free cash flow in 2019, defined as cash flow from operations less capital expenditures. For 2019, our total capital expenditures are expected to be approximately $45 million. That concludes our prepared remarks. Lindsay, we are now ready to take questions.
Operator: [Operator Instructions]. Our first question comes from the line of John Babcock with Bank of America.
John Babcock: Hey, good morning. Just want to start out, I was wondering if you could talk about some of the risks and opportunities you see at your latest guidance and also, if you could just generally provide a little bit more detail as to what's driving the revisions.
Mary A. Laschinger: Sure. Good morning, John. So the risks and opportunities in our guidance, the risk as we noted, is primarily driven by the uncertainty of the market conditions in the print industry -- print and publishing industry. I would say that's the greatest risk in our guidance. The opportunities on the flip side of that is certainly -- we anticipate continued improvement in our packaging business, both as we've said before, both in margins and continued strength on the revenue side, which has big levers in the business. As well as continued improvements in earnings in our Facility Solutions businesses. So that's how I'd characterize the risk and opportunities on the adjusted EBITDA line. In terms of cash flow, again, we feel very confident about that and I'd say that there's probably more upside to that than there is downside on the cash flow front. But again, driven by some similar factors, we continue to -- obviously, EBITDA has an impact on that but we also continue to work our optimization efforts in terms of improving our processes around our working capital.
Stephen J. Smith: And John, as far as the detail on how we move from one forecast, one initial guidance to the next, maybe I could add a couple of comments there. So what we've done is we've looked at the risks and opportunities Mary just mentioned as it relates to the earnings and on that basis, we have assumed that the type of miss that our Print segment had in the first quarter would continue at similar levels in the remaining three quarters of the year. As you noted, there is a $6 million miss in the quarter. We would assume that, that level of miss occurs, that would be roughly in the low 20s as far as our year-over-year earnings decline, and that would account for the bulk of the 12% reduction from midpoint to midpoint in earnings guidance.
Mary A. Laschinger: And obviously, to the extent that the industry trends improve, there could be a change in that, but we're not banking on that at this point.
John Babcock: Alright, I appreciate that. And then just in aggregate, I mean, I think in the past, the earnings split between the first half and the second half has tended to be somewhere between 45-55 and 40-60. And just want to get a sense if you're still expecting, given what happened in the first quarter and what you're expecting through the balance of the year, whether you expect it to more or less still be in that kind of split range.
Stephen J. Smith: So John, it's a little bit more heavily weighted to the second half because of the fact we have an extra day shift. And that extra day shift adds a several point difference to us. So rather than the 40-60, it might be something a little -- a few -- 100 basis points lower in the first half and a little bit higher in the second half, so a little bit higher than that 60% you quoted.
John Babcock: Okay. And then moving on to Packaging, I was wondering if you could talk about whether you are seeing any improvement in non-U.S. markets. It sounds like there's been a little bit of a challenge there. And then also just the growth in the U.S., is there a way to kind of gauge what that was in the quarter?
Mary A. Laschinger: Sure. Yes, so first of all, in terms of the non-U.S. market, just a little characterization of that business for us. So we support large customers that are located here in the U.S. that do manufacturing in non-U.S. markets, and a big market for that is the Asian market. And two dynamics occurred there for us to this quarter. One is we do support -- it's a project-based business with product launches and there's always a timing factor associated with projects coming off and projects coming on. In addition, those are also highly customized and specialized products that we're selling into that, and so there was a timing factor. We do anticipate some of that coming back into play here and improving over the course of the year, in particular in the second half of the year.  The other dynamic that we experience is because of the uncertainty of trade, we're beginning to see the movement or looking for to move manufacturing outside of China into other countries where more acceptable and more predictable around the trade. Some of that timing is unpredictable and we believe that there was some inventory builds that occurred over the course of the last few months to facilitate that transition of manufacturing. So from our standpoint, it's not a long-term implication, it's more of a timing of both inventories and manufacturing movement along with project timing. In terms of growth in our U.S. business, we experienced a greater than 2% growth in the U.S. business. A big part of that was price and it was broad-based, with some product categories growing significantly higher than others. For example, our rigid business grew double digits as an example, and some market segments are stronger than others.
John Babcock: Okay. And that growth rate seems to be down a little bit from where you had been, I guess, in the business. Is that in part because marketing spend has been pulled back, assuming that that's actually the case or are you actually seeing a slowing in demand, I mean, obviously, box units were down 0.5% during the quarter so that might have signaled something but?
Mary A. Laschinger: Yes, it's a combination of factors, John. First of all, as we've shared in prior quarters, we expected this year to be lower for a few reasons. One is the moderation of supplier price increases. We also had some lapping of large customers coming on board and a lapping of that activity that going to -- that slowed a little bit. We also had the benefit of AAC's growth last year. And then -- but to put on top of that, we are seeing a bit of softness in the marketplace as well. We were impacted, as you saw box shipments were down for the quarter and we also saw resin-based products for the U.S. were also down for the quarter. So there are some market dynamics occurring as well.
John Babcock: I appreciate that. And then just a last question before I turn it over, I was wondering if you could talk a little bit more about your working capital assumptions for the year.
Mary A. Laschinger: Steve?
Stephen J. Smith: Sure. So in the first quarter, as was noted in the prepared remarks, we outperformed the -- our own internal expectations for the quarter. And for the year, we anticipate continuing that level of improvement, if not improving it further. So that level of performance in the first quarter, we anticipate also occurring at fiscal year-end 12/31. We have a fair degree of confidence in that, with the risks being seasonality and Packaging growth.
John Babcock: Thank you.
Operator: Our next question comes from John Dunigan with Barclays Capital. Your line is now open.
John Dunigan: Hi Mary, hi Steve, thanks for all the information. Just to go back to the non-U.S. business that you touched on, what percentage would you consider of Packaging is part of that non-U.S. business and what exactly are we considering specialty, just in terms of types of products that typically go into that market?
Mary A. Laschinger: Yes. So roughly, in the Packaging space the non-U.S. is roughly 15% of our revenue in that business, and so that's to characterize the size. Specialty, this is custom-made, often times shelf-ready packaging or specifically designed packaging to accommodate anything from requirements that the customer gave us around recyclable products to molded paper foam products, things that are very specialized that have both protection of the product as well as marketability of the product, and so they're quite specialized. Custom design, if you go back to our value proposition in packaging, it's from concept to delivery. So it's concept design of the package, sourcing and delivery to the point of use.
John Dunigan: And delivery to the point of use, are you delivering it to these customers here in the U.S. or are you delivering it to their operations in China?
Mary A. Laschinger: We're delivering it -- we manage the supply chain processes to deliver it in their operations in Asia.
John Dunigan: Okay. And then you touched upon the kind of points of weakness that being mostly Print volumes lower than expectations, and I believe it was a little bit slower at GDP than you had expected on the last earnings call a few months ago. But how are things looking so far in 2Q, I assume somewhere around the same levels, given the assumption that this kind of carries forward to the rest of the year?
Mary A. Laschinger: Yeah, so I won't comment specifically on what we see in the second quarter at this point. But I will comment on what we see with industry already playing out here. There've been a few announcements of capacity reductions because we have seen operating rates drop from the mid-90s down to the mid-80s. And that's all being driven by, I think, two factors. One, as we shared with you at the end -- in our year-end call, that inventories carried over from the fourth quarter into the first quarter and so there were channel -- we believe there were channel inventories throughout the entire system that were being adjusted for, which is why shipments were even worse than demand in the first quarter. And so the mills are starting to adjust their manufacturing to meet the demand and based on this announcement, I assume they're trying to take inventories out of that channel as well. So it's hard to say how all this is going to play out. But we would expect, as we shared with you, we're anticipating a similar balance to the year to what we had in the first quarter. And by all appearances based on announcements made by manufacturers generally and what we hear from our customers, that's probably an appropriate assumption.
John Dunigan: Okay. And then looking at the change in the free cash flow guidance Steve, I was hoping you can just bridge the -- from the lower EBITDA guidance to the updated free cash flow guidance, what the major changes were?
Stephen J. Smith: Sure. So maybe let's start with the midpoint of the adjusted EBITDA guidance, John, and that would be at $173 million. And from that, that would throw off approximately given an effective tax rate that we're assuming of about $0, right about breakeven for net income. So the first change would be in our assumption around net income for the year, and that will be lowered from the prior guidance that we gave in February. From that zero net income level, you'd add back to that the D&A that we have. We're running about $55 million a year. We had about $13 million or so in the first quarter, add back to that as well the other noncash items. The last three years, that figure has averaged 30 -- $24 million, so we're adding back about $25 million this year. And you subtract from those figures the capital expenditure of the year -- all capital expenditures, whether they're onetime or ongoing, of about $45 million, which we've guided to. So the cash flow before the working capital changes was about $35 million and as you'll note that we would then have to have working capital sources of at least $50 million to get to the guidance of at least $85 million. In the first quarter, you'll note that our current assets minus our current liabilities was a source of $54 million. So in the quarter, we've been able to hit our annual target in order to get to that $85 million level. So we believe we have some confidence that we'll be able to maintain that and if not, improve upon it. Again, I mentioned earlier the risk for that, at least $85 million will be our seasonality in the Packaging growth.
John Dunigan: And just in terms of the bridge, the biggest move for the change in free cash flow guidance was that working capital?
Stephen J. Smith: That's correct, yes. We had previously guided to a lower working capital figure for the year. And now, we're guiding to higher, given the first quarter's performance.
John Dunigan: Okay. And then how would you consider the sustainability of free cash flow looking out past 2019 since most of the kind of rebound in free cash flow is driven by the accounts receivable and inventory coming down?
Stephen J. Smith: Right, so there are 2 elements to the future that might change. We haven't guided the long-term free cash flow generation but you would tend to see the EBITDA improving, which would itself generate additional free cash flow. And we would anticipate some continued, at least, multiyear view of unwind of working capital. That's our intent and that was part of our optimization plan announced, to unwind working capital in our contracting segments. And so the free cash flow, we believe, could be in that $50 million to $75 million range or approximately $4 a share on an ongoing basis for the near term. Beyond that, we just have to see at what rate of growth Packaging would grow because they would be the largest user of working capital.
John Dunigan: Understood. Thank you very much for the context and I will turn it over with that. Thank you. 
Operator: [Operator Instructions]. Our next question comes from the line of Dan Jacome with Sidoti. Your line is now open. 
Daniel Jacome: Hi, good morning. Can you hear me. 
Mary A. Laschinger: Yes, we can. 
Daniel Jacome: Terrific, terrific, thank you for all the information. Juggling a couple of conference calls this morning so apologies if I missed it. So at the end of the day, the free cash flow upside obviously. Just can you give us a sense of what you're expecting from receivables as a source of cash through the balance of the year and should we look at past years or do you expect one quarter to really contribute the most of it? And the only reason I'm asking is because I think last year, there was some expectation that the fourth quarter would have been a larger source of cash and then, of course, it was not. So I'm just trying to get a little a better understanding of that. Thank you very much. 
Stephen J. Smith: So we expect, Dan, that the accounts receivable item would be the largest contributor to the working capital increase year-over-year. Or we would prefer not to give specific guidance on line items within cash flow. But given what happened in the first quarter, if we are able to maintain that outperformance for the balance of the year, you would see that about 75% of the improvement in working capital in the first quarter was AR. And so we're expecting that same level of outperformance to continue for the balance of the year.
Daniel Jacome: Okay, got it. Thank you very much. 
Operator: And there are no further questions in queue at this time. I'll turn the call over to Mary Laschinger, CEO of Veritiv, for closing comments.
Mary A. Laschinger: Thank you, everyone for your questions. We faced several market challenges in the first quarter. These conditions, coupled with our ongoing structural decline in our Print and Publishing segments negatively impacted our revenue and adjusted EBITDA. However, our free cash flow was very strong in the quarter and we are pleased with the progress in our growth segments as well as the positive impact of our optimization efforts are having on both our cost and cash flow. Our long-term strategy remains the same. Shifting our portfolio mix to higher growth, higher-margin businesses by investing in Packaging and services, protecting our market positions in Facility Solutions, Print and Publishing and optimizing our business processes across our commercial, supply chain, and back-office operations. We believe these efforts will position us well for the long-term success of Veritiv. Thank you again for joining us today, and we look forward to speaking with you in August when we share our second quarter 2019 results.
Operator: This concludes today's conference call. You may now disconnect.